Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Prestige Consumer Healthcare Incorporated Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]I would now like to hand the conference to your speaker today, Phil Terpolilli, Director of Investor Relations. Please go ahead, sir.
Phil Terpolilli: Thank you, operator, and good morning to everyone who has joined us today. On the call with me are Ron Lombardi, our Chairman, President and CEO; and Chris Sacco, our CFO.On today’s call, we’re going to cover the highlights and review the results of our fiscal 2020 second quarter, discuss our full year fiscal year outlook and then take questions from analysts. We have a slide presentation, which accompanies today’s call that can be accessed by visiting prestigeconsumerhealthcare.com, clicking on the Investors link and then on today’s webcast and presentation. Remember some of the information contained in this presentation today includes non-GAAP financial measures. Reconciliations between adjusted and reported financial measures are included in today’s earnings release and slide presentation.During today’s call, management will make forward-looking statements around risks and uncertainties. We detail these in a complete safe harbor disclosure on Page 2 of the slide presentation, which accompanies the call. Additional information concerning risk factors and cautionary statements are available in our most recent SEC filings and most recent company 10-K.I’ll now hand it over to our CEO, Ron Lombardi, to walk through the highlights of our second quarter performance. Ron?
Ron Lombardi: Thanks, Phil, and good morning, everyone. Let’s begin on Slide 5. We were pleased with Q2 results, which followed a solid first quarter performance. Starting with the top line, revenue of $238 million was essentially flat to the prior year on an organic basis in the quarter, slightly ahead of our expectations offered back in August. Sales benefited from strong top line results in our international segment, which experienced growth of approximately 8% after adjusting for FX. This strong performance was led by consumption gains in Australia and the timing of distributor orders in other countries.In North America, we experienced strength in our GI and skin care categories, each benefiting from our proven long-term brand building strategy, offsetting this was a retailer inventory reductions and changes at shelf in the oral care category previously discussed as well as the impact from a retail level recall of certain eye care products produced by a previous supplier. The impact of this recall was contained to the second quarter as sourcing from this supplier had largely stopped about two years ago.Consumption trends for our portfolio increased 2% in Q2, and we continue to expect consumption growth for the full year to be around this level. Total company adjusted gross margin in the quarter came in at 58% ahead of 57.4% in Q2 a year ago, mostly driven by product mix. Adjusted EPS of $0.68 was up 5% versus the prior year.Free cash flow was $47 million in the quarter and continues to benefit from our industry-leading EBITDA margin, efficient capital spending and low cash tax rate. Adhering to our disciplined capital allocation strategy focused on enhancing shareholder value, we used the cash flow in Q2 to opportunistically complete our authorized share repurchase program as well as to reduce debt during the quarter.Now let’s turn to Slide 6 and discuss year-to-date results. Our fiscal year-to-date performance includes stable revenue and profitability, which gives us continued confidence in our full year outlook. Revenues in the first half were impacted by the anticipated inventory reductions occurring in the drug channel. Despite this, our consumption trends remained solid, and we feel good about the positioning of our portfolio of leading brands. Adjusted EPS of $1.33 was as anticipated, with higher EPS expected in the second half of fiscal 2020 due to the timing of A&P investments.Free cash flow was $98 million year-to-date. Stable and strong profit trends continue to enable the successful execution of the first and third components of our three pillar strategy, investing for growth and capital allocation optionality. We did this again in the first half of fiscal 2020, investing in A&P behind our leading brands, repurchasing $50 million in shares opportunistically and reducing our debt level. In summary, we are executing our proven strategy and these first half results are a testament to our efforts.Let’s turn to Slide 7, and discuss the key brand helping drive results, Summer’s Eve. Summer’s Eve was acquired in January of 2017 and is our largest brand. One of five power core brands, which make up about half of our sales, Summer’s Eve is well positioned for long-term success through our strategic positioning and our brand building efforts.As a starting point, the brand holds a commanding number one leadership position in the category at retail, holding over a 50% share that is well over two times larger than the next branded competitor. This positioning allows us to concentrate our efforts around consumer insights that are focused on increasing category adoption, which drives long-term brand growth rather than competitive share swaps in a crowded category. This also fosters a strong relationship with our retail partners as we grow the category. This strategy is underpinned by a solid whitespace opportunity.Based on our consumer insight analysis, roughly half of our women are open to using products in the feminine hygiene category, yet only about 15% are doing so today. With this knowledge in mind, we are continuously working towards growing category usage over time, a win for both retailers and the brand. We are doing this by executing our brand building playbook. And if you look at the right side of the slide, you will see several examples. First, we execute proven marketing efforts.For Summer’s Eve, this often means iconic and creative marketing campaigns, most recently was the launch of the creative elephant in the shower marketing campaign, which has accelerated sales and increased engagement in platforms like YouTube. Second, we utilized influencers and leveraged their platforms to help engage consumers. One example would be a recent feature on The Dr. Oz TV show last week, where Summer’s Eve washes were discussed as a beneficial part of a woman’s daily care routine.Lastly, innovation is another one of the key areas of this playbook. Our recently introduced items include Summer’s Eve Fragrance Free, Sunset Oasis and FreshCycle, each designed to fill a unique unfilled set of consumer needs.In summary, this playbook is driving increased usage rates to grow both our sales dollars and the overall category, with consumption growth since our ownership averaging in the mid-single digits, in line with our long-term objectives.Now let’s turn to Slide 8 for an update on e-commerce. Online sales continue to be a fast-growing opportunity for Prestige, with first half growth of nearly 50% versus the prior year. We expect this solid growth to continue and anticipate online sales reaching nearly 5% of our total sales by year-end. Over the last several years, we’ve been proactive in this emerging channel, investing behind digital content and distribution to ensure that our trusted brands are easily available for purchase as customers research and shop for their health care needs online.This strategy has paid off, and the result is a well-positioned portfolio with many of our brands actually ahead of their share in brick-and-mortar. One example of this is Boudreaux’s Butt Paste, part of the Fleet acquisition in 2017, Boudreaux’s is a diaper rash ointment that is currently tied for a number three share in brick-and-mortar. However, our proactive investments in e-commerce have allowed the brand to experience tremendous success, achieving a number two market share position on Amazon where now over 15% of Boudreaux’s sales occur.In this example, our investments include consumer education through the Boudreaux’s website, funny and engaging website interactive ads and connecting with moms as they prepare baby shower registries online. Our success in e-commerce continues to be driven by proactive strategies across each of our brands with Boudreaux’s being just one of many examples. We are well positioned for continued e-commerce sales growth that remains an opportunity for our business.With that, I’ll turn it over to Chris to walk through detailed Q2 financials.
Chris Sacco: Thank you, Ron, and good morning, everyone. I’ll walk through our second quarter financial results in greater detail and offer some updated context around our expectations for fiscal 2020. As a reminder, the information in today’s presentation includes adjusted results that are reconciled to the closest GAAP measure in our earnings release.On Slide 10, you can see our high level second quarter results, which includes flat organic revenue of approximately $238 million and an adjusted EPS increase of $0.03 per share versus the prior year. First half adjusted EPS of $1.33 per share was flat and adjusted EBITDA declined versus prior year, both impacted by the divestiture of Household Cleaning. As a reminder, we fully lapped the comparison impact of Household Cleaning beginning in Q2.Now let’s turn to Slide 11, where I’ll discuss consolidated second quarter results. For the second quarter of fiscal 2020, our net revenues decreased 50 basis points to $238.1 million, but were essentially flat after excluding the impact of foreign currency. As expected, our top line was impacted by retailer inventory reduction. Adjusted gross margin, which excluded transition costs associated with our new logistics provider, was 58% for the second quarter, up 60 basis points versus the prior year due mostly to product mix.In terms of A&P, we came in at 16.2% of revenue in Q2, as we continue to invest behind long-term brand building opportunities. Our G&A spending was 9.5% of total revenues in the second quarter, up year-over-year, attributable mostly to timing. First half G&A spend was up slightly in dollars versus the prior year. We reported adjusted earnings per share in Q2 of $0.68 representing an increase of 5% versus the prior year, driven by the effects of debt reduction and share repurchase.Now let’s turn to Slide 12 to discuss our second quarter cash flow. For Q2, we generated approximately $47 million in free cash flow. In the quarter, we utilized $21 million to complete the $50 million share repurchasing program authorized back in May, repurchasing approximately 700,000 shares. As anticipated, the remainder of cash flow went to debt reduction. Our net debt at September 30 was approximately $1.7 billion, equating to a leverage ratio of five times. We still anticipate leverage of approximately 4.7 times by our fiscal year-end.Last, I’d like to remind everyone of our transition to a new third-party logistics provider announced in August. We incurred $1.4 million in onetime costs related to this project in Q2, and we still expect to incur approximately $10 million of onetime costs in fiscal 2020. Although early, we are on track to our plan and continue to expect completion of the transition in Q1 fiscal 2021.I’ll now turn it back to Ron for a discussion surrounding our fiscal 2020 outlook and some closing remarks.
Ron Lombardi: Thanks, Chris. Let’s wrap up on Slide 14. We are on pace to our original expectations for organic growth, adjusted EPS and cash flow for the year, driven by the continued success of our strategy. For net sales, we expect fiscal 2020 to be in the range of approximately $947 million to $957 million. This range is down slightly from our previous expectations due entirely to foreign currency expectations. However, we continue to anticipate organic revenue to be approximately flat versus the prior year.For Q3, we also expect organic revenues to be approximately flat to the prior year as we typically experience the highest level of retail inventory level fluctuations and order patterns in the December holiday time frame. We continue to expect fiscal 2020 adjusted EPS in the range of $2.76 to $2.83, and we still anticipate being at the higher end of our outlook range.Regarding cash flow, we continue to expect full year adjusted free cash flow of $200 million or more. To recap, we are now halfway through the year and remain comfortable with our outlook and growth prospects. Our top line is as anticipated, with solid consumption trends. We’ve delivered strong and consistent financial metrics and cash flow to date, which continues to enable our efficient capital allocation efforts.With that, I’d like to turn it over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jon Andersen with William Blair. Your line is open.
Jon Andersen: Good morning, everybody. Can you talk a little bit more about consumption? What did you see in aggregate across the business in the quarter? And if there is any way to parse it a little bit, what you saw within the U.S. or North America and what you experienced from consumption standpoint in your international markets?
Ron Lombardi: Sure, Jon. So first of all, the consumption trends we realized in the second quarter have been fairly consistent over the last handful of quarters at about 2%. The international business in Canada is a bit above that average and North America was a bit – excuse me, U.S. was a bit below that. We had some particularly strong performance in GI and skin within the U.S. And during the quarter, we had some tough comps with Monistat, in particular, in the Women’s Health care segment that offset that a bit. But in summary, consumption continues to be pretty steady and generally in line with the expectations we had at the start of the year.
Jon Andersen: Okay. And can you remind us what the tough comp with Monistat was related to?
Ron Lombardi: Sure. We had some changes of product offering at shelf for a couple of retailers versus a year ago is one of the drivers. And the second is, we had particularly strong shipments during the second quarter in that segment last year just due to timing. So it’s kind of those two factors, Jon.
Jon Andersen: Okay. And then I know that some of the changes in the oral care business have also been impacting consumption. When do you lap the – I think the shelf set reset by a large customer was one of the things you’re kind of working through there. When do you anniversary or lap that? And am I accurate in saying at that point, you’d expect better growth out of the oral care piece of the business, DenTek?
Ron Lombardi: Yes. So we’re going to have those headwinds in terms of year-over-year comp through the rest of this fiscal year at this point.
Jon Andersen: Okay. How about just bigger picture comment on pricing, the pricing environment for your products and flat, up, down? And then also, you did make the comment that, I think the majority of your core OTC brands gained market share. Can you talk a little bit about – I mean, have you seen any changes with respect to private label penetration either offline or online? And just kind of how the brands in aggregate are holding up relative to other national brand competition and private label?
Ron Lombardi: So pricing has essentially been flat for us. It’s still a tough pricing environment. Although with leading – many leading brands with a 50% share, we tend to be well positioned to put them in place if needed. So pricing, again, has tended to be pretty flat. In terms of market share versus private label, we continue to gain share and win, in general, as we have for a very long period of time. Again, it’s – whether it’s private label or any competitor that we may happen to have, we come to work every day focused on how we continue to grow our share and grow the category, whether it’s through innovative new products or new marketing and brand building campaigns, whether it’s being on The Dr. Oz Show, Dramamine, and for new product, as an example, the new fragrances launched for Summer’s Eve, and the list goes on and on, Jon. So again, we don’t focus specifically on private label, we just focus on the competitive landscape, and worry about winning with the consumer.
Jon Andersen: Makes sense. If I can squeeze one more in. Just on the retailer inventory reduction, I guess, in the quarter, and maybe year-to-date, has that kind of – has it gotten better or has it gotten worse? Is it in line with your expectations? And how are you thinking about the potential for additional destock over the next several quarters? Is this winding down? Are we still kind of in the middle innings?
Ron Lombardi: Yes. So first of all, the retailer inventory reductions are in line with what we anticipated at the beginning of the year. We thought going into the year that would kind of be a slow drip as a number of retailers talked about inventory reduction initiatives. So we thought it would kind of just hit us each quarter on a fairly predictable level, which it’s done so far. And we’re kind of, I guess, in the middle innings, at least in terms of this year, we expect it to continue in the third quarter as well as our fourth quarter. And then in the third quarter, in particular, I called out today that we expect our sales to be flat or so even with the lower comp last year because we have seen historically that the holiday period is a time that many retailers use as a way to adjust down inventory in our categories. So we’re anticipating that. And as a result, flat for Q3.
Jon Andersen: Okay, thanks so much. I’ll get back in the queue.
Operator: And our next question is from Steph Wissink with Jefferies. Your line is open.
Steph Wissink: Thanks, good morning, everyone. I’d like to isolate the gross margins a bit more. Chris, if you would just talk a little bit about the variance in gross margins between international? And I think the North America margins were just a little bit lower than we had expected. So if you could help us reconcile that difference in international and North America?
Chris Sacco: Yes, sure. So for international, as we’ve said before, that the distributor business, right? So it tends to be a bit lumpy. So I would look at the first half in total for the international business. We had strong Hydralyte sales in the second quarter that would impact the mix favorably. That said, I would look at the first half as an indicator for international going forward. North America, again, taking out the transition costs down 20 bps year-over-year, remember, we talked about the Clear Eyes recall during the quarter, and that was probably the biggest variance other than mix affecting North America.
Steph Wissink: Okay, that’s very helpful. And then on A&P, I think you mentioned right around 16% in the quarter, which is a bit above your full year target. Can you talk a little bit about what you had in the quarter that you were supporting? And as we look into the back half, were you may be able to pull back a bit to lateralize out at your full year guidance?
Ron Lombardi: Sure. So I think the first important thing to comment on is that our A&P investment planning for the year, the way it hits quarter-by-quarter is driven by initiatives that we’ve got planned for products, it’s not driven by P&L concerns or staging, if you will. So during the quarter, we had a number of Summer’s Eve initiatives, Dramamine-N, I believe, was on television. So we’ve got a broad portfolio with a lot of different initiatives, whether it’s TV, digital or other areas that we make investments in. So it wasn’t any one brand or any one category.
Steph Wissink: Okay. So Ron, should we then assume in the next couple of quarters that you wouldn’t have that step function behind some of those long-term brand initiatives that you would balance out in the back half to kind of maintain your full year?
Ron Lombardi: Yes, that’s right. Our full year outlook was about 14.5%. And we’re closer to high 15s, I think, through the first half. So that would indicate that the second half is going to be lower. The other thing, Steph, in A&P, if we do find some gross margin opportunity, if it ends up being higher than we think, we would look to invest that in higher levels of A&P in the second half as well.
Steph Wissink: Okay, that’s helpful. And last one, on inventory levels, nice improvement sequentially on the rate of growth, but wanted to just talk about your expectations for the back half in terms of your own inventory carry? And is any of that lift in inventory year-over-year related to the DC that comes online in the first quarter of 2021?
Chris Sacco: Yes, Steph, so the inventory increase from year-end is entirely related to the warehouse transition. We began to ramp early in the second quarter. We expect those levels to elevate, the highest point will be likely Q3. And then they’ll start to come down, although elevated over year-end as we enter our fiscal year-end, and then again, obviously, as we complete the transition in early 2021.
Steph Wissink: Okay. That’s great. Thank you very much.
Operator: Our next question comes from the line of Joe Altobello with Raymond James. Your line is open.
Adam Kozek: Hey, good morning, guys. This is Adam on for Joe. I was actually looking at the margin, and it looks like that got answered. So I was curious kind of – I know you touched on it, but a quick update maybe on capital allocation priorities. How you’re ranking M&A, debt reduction, share repos at this point? And maybe what’s the M&A market looking like at this point in time?
Ron Lombardi: Sure. So our capital allocation priority is: One, to continue to delever over time; second would be opportunistic stock buyback, right? This was the second year in a row where we felt taking one-fourth of our cash flow, $50 million in buying back stock at an attractive price in high yields for the shareholders was the best use of that $50 million. So that’s where the focus is. In terms of M&A, we continue to expect opportunities to come out of the big pharma and other CPG companies as they rationalize their portfolios and merge. So the important thing for us is just to stay with our strategy of looking for niche brands with leading positions that would provide long-term brand building opportunities. So no change in that capital allocation approach.
Adam Kozek: Great, that’s helpful. And then I just kind of was curious, you touched on Canada briefly, but I was curious maybe how big you guys think you could get perhaps as a percent of total sales? And then that’s it for me.
Chris Sacco: Yes, we think Canada will probably grow slightly ahead of the U.S. and slightly behind the international markets over time. We’ve got a couple of great leading brands up there, Gaviscon, in particular, has been growing very well for us for a long period of time. We acquired that back in 2012. So we think we’ve got a long runway with that brand and a couple of other brands up there as well.
Adam Kozek: Great. Thanks, Ron. I appreciate it, guys.
Operator: Your next question comes from the line of Linda Bolton-Weiser with D.A. Davidson. Your line is open.
Linda Bolton-Weiser: Yes, hi. So you talked a little bit about the North American OTC gross margin and why it was down because of the recall, is – do you expect that gross margin to be able to be up year-over-year in the future? Is there any secular issue with certain brands that are growing faster that are lower gross margin or higher gross margin or would that gross margin be stable over time? Or just kind of long term, what are you thinking about the gross margin?
Chris Sacco: Yes, this is Chris. So generally speaking, we would expect the margin to be stable over time. There are no secular issues that we think about today, we obviously have cost-saving measures in place, the warehouse transition being one of them that we’ve talked about, although kind of a secondary byproduct of why we made this – we’re making the transition. So we do expect, again, as Ron said earlier, any potential increases or improvements in gross margin to be reinvested back into A&P to maintain our EBITDA margins in the mid-30s.
Linda Bolton-Weiser: Okay. And then have you thought about – I was a little surprised that you highlighted the Boudreaux’s Butt Paste brand because I thought, when you first acquired that it might be considered something that would be a divestiture candidate. Have you considered any divestitures to be able to more rapidly deleverage some of your brands that are either smaller, nonstrategic or underperforming? Have you considered those – any divestitures?
Ron Lombardi: Sure. So first of all, obviously, we spend a lot of time talking about our power core brands, the big five that make up 50% of our revenue. We’ve got another dozen or so core brands. And really, another small list of brands that are in the tail that have good long-term growth opportunities and Boudreaux’s fits that description. We’ve been able to grow it solidly since we acquired it back in February of 2017, and we’ve made investments behind it to grow. So that’s an example of why we called it out today is not only have we been successful in brick-and-mortar, but just as importantly, we found opportunity online in it with Amazon to be very successful and have much higher levels of growth for that brand there. So that’s the first part.The second, in terms of portfolio management and consideration, we hear from people all the time with interest in certain brands that we have, and the evaluation ends up being disciplined one where we look at what the value we have by keeping it in terms of earnings and cash flow. And if someone would be interested in meeting or beating that, we would be open to it and looking to reinvest that capital back in other high-growth opportunities. So we don’t sit with a defined list of things. We’re looking to divest at this point because, in general, after you pay the cash taxes, you don’t end up in a position to accelerate delevering.
Linda Bolton-Weiser: Okay. Thanks very much.
Operator: And our next question comes from the line of Mitch Pinheiro with Sturdivant. Your line is open.
Mitch Pinheiro: Yes, hi. Good morning. So just – I just want to – most of my questions have been asked and answered. But could you touch on your input cost outlook broadly across your portfolios? Is there any – what type of growth or lack thereof do you see there? And is there any particular inputs that you need to call out?
Chris Sacco: Yes, Mitch, this is Chris. Unlike a lot of CPG companies that you hear from, we’re not really feeling the kind of inflationary pressure. Some folks have talked about not – tariff is not a material factor to us. Majority of our products are manufactured in the U.S. Generally speaking, the OTC space has excess capacity. We like to begin – we start from a little bit of a different place, right? If we think about freight, for example, is around mid-single digits as a percent of our revenue. We’re not shipping laundry detergent as an example. So generally speaking, we’re not facing material inflationary pressures as we look out on the horizon here.
Mitch Pinheiro: How about on the logistics side? I mean, I know you’ve got the new warehouse provider, but is this – the transportation costs are surely pressuring a little bit.
Chris Sacco: Yes, a couple of things. So in the near term, the majority of our carriers are locked for the year. So we don’t really get affected by a more volatile spot market that you’re probably hearing about. One of the byproducts of moving our facility is that we’re going to actually be facing better lanes in the new – in Indiana than we were in Missouri. So looking ahead, again, not looking for inflationary pressure on the logistics front either.
Mitch Pinheiro: Okay. And then, when I look at – do you guys track revenue from new product innovation over any period of time? I mean, could you talk to how maybe your new products did this quarter versus a year ago? Or the size of your new product efforts?
Ron Lombardi: Sure. We do track it. We track it by brand. But for us, in our categories, new products can be everything from – we’re doing a study to have new claims on a package, and we update our packaging to have those claims to better connect with consumers to actual new technologies like Compound W, Nitrofreeze or Nix Ultra, where we actually have new formulas and new products over time. So we have a very broad definition of it. And we keep an eye on the velocity and how those individual SKUs are performing out there. We don’t publicly talk about a freshness index or having a target of having 20% of our sales come from new products, but just track on a granular basis the improvements in performance of every SKU that we launch every single year, whether it’s updated packaging or new technology. So we’d rather manage it on that level, Mitch, than in total with a much narrower definition.
Mitch Pinheiro: Okay, fair enough. And then just last question. Any early indication of any change in cold season so far this year?
Ron Lombardi: Yes. So first of all, for us, the cough cold part of our business is relatively small, mid-single digits, right? We’re down to Luden’s and Chloraseptic and Sucrets more or less, so it’s a very small part of our business. The second is, if you go look at the most recent tractor that’s out there, incidences are up about 1.5% over last year. It’s still very early. Flu is way up, but all the other kinds of symptoms, sore throat, cough, congestion is our way – are way down offsetting it to a low amount. So at this point, one, it wouldn’t impact our business meaningfully; and secondly, it’s a bit early to tell.
Mitch Pinheiro: Okay. All right. Thank you very much.
Operator: And our next question comes from the line of Frank Camma with Sidoti. Your line is open.
Frank Camma: Hey, just one quick one for me, a follow-up on the destocking. I see the destocking in two ways, one is just sort of normal retailers tightening the bell, but the other is external factors like consolidation. So can you just maybe speak specifically to the consolidation in the pharmacy channel, and maybe where that portion of the destocking would be in your view?
Ron Lombardi: Yes. So in the drug channel, right, there’s two factors impacting destocking in the drug channel. First is the consolidation that took place between Walgreens and Rite Aid and the store closures and the distribution center closings that we’re in the middle of this year. And then in addition to that, the drug channels, front of store performance has been declining for a long period of time. So they’re running downhill, trying to catch up with this declining business and reduce inventory to keep up with lower sales. So that’s hitting us.Now the good news for us is, even in that challenging environment, we’re winning. For the first six months of this year, our consumption in the drug channel is up like 3% and our sales into the drug channel is down 2%. So we’ve got like a five-point swing, where we continue to gain share and we’re helping the retailer with their performance in our categories because we’re investing in brand building, we’re investing in advertising, we’re investing in new products. So we’re not a problem to them in our categories, we’re a help.So we worry about the things that are within our control, which is winning with the consumer. And if we win with the consumers, that will help the retailers. So that’s the first part of it. And then outside of the drug channel, as we did talk about and expect for this year, there’s other regional players that are struggling, whether it’s regional grocers or we did have a couple of chains go out of business, where we had sales into them last year, whether it was Shopko up in the Midwest or, I think, it’s Fred’s down south. That was expected hitting us this year. So that has been an ongoing headwind. So it’s, again, largely as we expected this year, both year-to-date and what we anticipate for the rest of the year, Frank.
Frank Camma: Okay. That’s helpful. Thank you. That’s all I had.
Operator: And our next question is from Carla Casella with JPMorgan.
Sarah Clark: This is Sarah, on for Carla. Do you have any thoughts on refinancing your 2021 bonds?
Chris Sacco: Sarah, so as you’re aware, I take it, our bonds will trade at par on December 15. So sure, we’re always looking for opportunities to take advantage of market conditions. And if we have anything to announce, we’ll – as we’ve done in the past, we’ll certainly share it with everyone.
Sarah Clark: Got it. Thank you.
Operator: Thank you. And I’m not showing any further questions. So I’ll now turn the call back over to Mr. Lombardi for closing remarks.
Ron Lombardi: Thank you, operator, and thank you to everyone for taking time to join us today. We look forward to seeing many of you on the road at upcoming investor conferences and other events as well as sharing a business update, again, in February. Have a great Halloween.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.